Operator: (Operator Instructions) Welcome to the Eastman Chemical Company first quarter earnings conference call. We will now turn the call over to Mr. Greg Riddle of Eastman Chemical Company Investor Relations.
Greg Riddle: On the call with me today are Jim Rogers, who will be CEO after our annual meeting on May 7th; Curt Espeland, Senior Vice President and Chief Financial Officer; and, Marie Wilson, Manager of Investor Relations. Before we begin I’ll cover three items. First, during this call you will hear certain forward- looking statements concerning our plans and expectations for second quarter and full year 2009. Actual results could differ materially from our plans and expectations. Certain factors related to future expectations are or will be detailed in the company’s first 2009 financial results news release on our website and in our filings with the Securities and Exchange Commission, including the Form 10-K filed for 2008 and the Form 10-Q to be filed for first quarter 2009. Second, except when otherwise indicated, all financial measures referenced in the call and in the slides accompanying the call will be non-GAAP financial measures, such as sales revenue, operating earnings, and earnings per share that exclude restructuring related and other items. Our reconciliation to the most directly comparable GAAP financial measure and other associated disclosures, including a description of the restructuring related and other items, are available in our first quarter 2009 financial results news release and the tables accompanying that news release. Lastly, we have posted slides that accompany our remarks for this mornings call on our website at www.Investors.Eastman.com. With that I’ll turn the call over to Jim.
Jim Rogers: I’ll begin on slide three. Last night we announced first quarter 2009 earnings of $0.25 a share and this is an improvement over the $0.05 per share we reported in the fourth quarter but obviously well below our first quarter ’08 earnings. Sales revenue declined by 30% due to lower sales volume and lower selling prices. The lower volume was throughout the company and reflects customer de-stocking as well as the weak end market demand. That’s really the story for the first quarter and don’t you bet it’ll probably be the story throughout the year. The price declines were more pronounced in our commodity businesses, Performance Polymers and PCI and reflect lower raw materials and energy costs. We continued to work through higher cost inventory through the quarter and we think this is largely behind us. With the continued weakness in the global economy we took a number of cost reduction actions that will positively impact results throughout the year. In December we announced actions to reduce costs by $100 million and these have been implemented. In the first part of March we announced a second set of actions to reduce costs by an additional $100 million and for the most part these have been implemented. One of these actions was a reduction in force of approximately 300 people and that was completed in the first half of April. I wanted to point out that the highest percentage reduction of people was at the Vice President level and the next highest was at the Director level. We know this is a little different then how many companies choose to reduce their headcount but we felt it made sense for us. The result is that we have flattened our management structure at the higher levels, bringing it in line with the overall size of the company. This new structure we hope will empower our employees to drive increased speed, focus and flexibility. It increases accountability for delivering results and it supports Eastman’s long-term growth strategy reflecting who we are today as a company and where we are going in the future. Now let me move on to the segment highlights. I guess I’ve got to begin with Fibers. Fibers operating earnings of $73 million were a quarterly record, eclipsing a record that was set in first quarter ’08. Revenue increased slightly year over year as higher selling prices and a favorable shift in product mix were mostly offset by lower sales volume. The higher prices were in response to higher wood, pulp, and energy costs which increased during the fourth quarter and remained at elevated levels. Lower volumes were in acetate yarn and acetyl chemicals. Acetate tow volumes were up year over year due to strong tow demand and the capacity addition at our facility in Workington, England completed in October. We expect second quarter operating earnings for Fibers to be similar to the first quarter. For full year 2009 we expect Fibers earnings to be above full year 2008, weighted more towards the first half as we benefit from continued strong demand for acetate tow and our capacity addition in England. One other comment while I’m talking about Fibers, a few weeks back we issued a news release announcing a number of senior management changes. One of those was the appointment of Rick Johnson as an executive officer of the company. Rick has done an outstanding job as a leader of the Fiber segment since 1996, positioning Eastman for the profitable growth we are reporting in Fibers today. As a Senior Vice President, Rick will also be responsible for the supply chain, our acetyl stream operations and for the regions outside the United States. His addition to our executive team increases the direct profit and loss responsibility on that team and I look forward to the contribution that Rick will make on our executive team. Now let me move to CASPI, first quarter 2009 operating earnings declined to $21 million. Year over year, the decline largely reflected lower sales volume which led to lower capacity utilization and higher unit costs. The lower volume was due to the global recession, particularly for the automotive, building and construction, and packaging markets. We also had an unfavorable shift in product mix. These were partially offset by the lower raw material and energy costs. Sequentially operating earnings declined due to continued low volume and an unfavorable shift in product mix as de-stocking continued particularly for specialty product lines. Looking forward in the second quarter, we expect CASPI’s earnings to increase sequentially as volumes improve due to reduced de-stocking and some seasonality. Looking at the year, we thin that CASPI’s earnings on a normalized basis so it’s about two-thirds specialty and one-third commodity. In this environment margins for the specialty product lines, although challenged by the weak demand, should hold up reasonably well. However, commodities margins will continue to be under pressure. As a result, we expect segment operating margins to be low double digits on a lower revenue base. Performance, Chemicals and Intermediates is next, operating earnings were $3 million for the quarter and year over year the earnings decline was due to lower sales volume, primarily in the olefin-based product lines, higher unit costs due to lower capacity utilization and lower selling prices reflecting lower raw materials and energy costs. Sequentially, operating results improved due to lower raw material costs and higher capacity utilization, partially offset by lower selling prices and an unfavorable shift in product mix. Looking forward during the second quarter we will be completing the reconfiguration of our Longview, Texas site. We will be shutting down our largest cracker for maintenance and completion of capital projects in preparation for permanently shutting down our two remaining smaller crackers. This capital project will improve the efficiency, reliability and safety of what will be the only cracker at our Longview facility, supply our propylene derivatives in the PCI and CASPI segments. The cost related to these actions in the second quarter are expected to be approximately $20 million of which two third would go to PCI and the rest will be for CASPI. Despite these costs we expect results for PCI in the second quarter to be similar to the first quarter because of slightly improved volumes as de-stocking declines and begin higher capacity utilization and lower unit costs. For the year, we expect a run rate in the third and fourth quarter to be slightly better than that second quarter rate without the cost I just described as volume improves slightly leading to higher utilization and lower per unit costs. Next is Specialty Plastics, operating results declined to a loss of $13 million in the first quarter. Year over year the decline was primarily due to lower volume, similar to volume declines from many plastics in this recession. You’ll remember in the middle of last year we converted legacy PET capacity to polyester and when you combine that with a volume decline we faced our capacity utilization was down between 50% and 60% for the quarter. In addition, we also had an unfavorable shift in product mix as we sold less cellulosic to the LCD market and this was all partially offset by lower raw material and energy costs. Sequentially, operating results declined as prices declined as we continued to work through higher cost inventories and volume declined due to customer de-stocking. The lower volume and the resulting lower capacity utilization led to higher unit costs. In the second quarter we expect results to improve as volume improves slightly leading the lower unit costs. Our priority for this business is to get it back to the black as soon as possible. Turning now to the Performance Polymers segment, operating results were a loss of $21 million in the first quarter. Year over year that’s a decline that was due to lower selling prices partially offset by lower raw material and energy costs. Lower polyester stream utilization which led to higher unit costs. Sequentially, operating results improved at a higher PET volume which led to higher capacity utilization and lower unit costs. First quarter results were also impacted by the slower than expected ramp of our IntegRex facility after the major debottleneck in the fourth quarter. Looking forward, we expect results to improve significantly in the second quarter due to higher selling prices, improved volume and improved operating factors with our IntegRex debottleneck. As with Specialty Plastics, our first priority for this business is to get it back to the black as soon as possible. Looking at our second quarter and full year outlook, capacity utilization improved somewhat from the fourth quarter to the first quarter but the global economic environment remains challenging and visibility is limited. The cost reduction actions we have taken will positively impact our financial results throughout the year. We expect margins to recover as we have worked through high cost inventories. For the second quarter, assuming a modest improvement in demand, we expect our EPS to be similar to the first call mean estimate currently $0.71. For full year 2009 assuming our capacity utilization increases back up to between 75% and 80% for the remainder of the year we continue to expect EPS to be between $2.00 and $3.00 which I think would be very solid performance in the current difficult environment. With that I’ll turn it over to Curt.
Curt Espeland: We all agree that the challenges of the financial crisis and the global recession that developed in fourth quarter 2008 have continued into 2009. As it became clear during the quarter that economic conditions were not substantially improving we stayed the course, closing managing our cash flows and reducing operating costs including implementation of an addition $100 million of cost reductions announced in March. These actions are improving an already solid financial foundation that will sustain us through even an extended period of weak demand. Eastman is well funded, continues to weather the storm, and remains well positioned to take advantage of economic recovery. Turning to our financial highlights, one of the financial highlights for the quarter is our strong operating cash flow performance. Even with continued weak demand we remained focused on working capital and achieved a $70 million reduction in inventory. As a result, we reduced working capital by $58 million, the best first quarter performance in our company history. We are on track to reduce working capital by $100 million in 2009 under admittedly difficult circumstances. This, combined with our other operating activities enabled us to generate strong cash from operations of $82 million in the quarter, reflecting the significant cash focus on all fronts by the men and women of Eastman. This is a strong start to the year and we are pleased with our progress toward the objective of being free cash flow positive for the year. Net debt to total capital remains at a good place at 52%. We finished the first quarter with net debt of approximately $1.1 billion up slightly from year end underscoring our cash focus. Our balance sheet is solid and holding up in these difficult economic conditions. Since the last recession we have taken many actions to restore financial condition and shore up our underlying business strategies. We were hopeful that these actions coupled with the cost reductions implemented in December would be enough to manage through the current economic environment. However, as first quarter unfolded it became clear that this recession is more severe and having a deeper and potentially more lasting impact then originally anticipated. In response, we implemented additional actions to reduce costs by an additional $100 million. This included a 5% pay reduction in the US effective March 30th and equivalent cost reductions being implemented globally. Completion of a reduction in force of approximately 300 employees that Jim mentioned, this did result in a $26 million charge in first quarter for severance and related costs. Lastly the $100 million includes a reduction of non-critical maintenance costs, logistics costs and further reductions in discretionary spending. The impact of these additional actions will be evident in our second quarter financial results and throughout 2009. These were difficult but necessary actions to improve the financial performance of the company and to maintain our strong financial profile. We have been disciplined in our financial approach and that extends to our priorities for uses of cash as highlighted on slide 13. First, we continue to pay our dividend as we have for every quarter we have been a public company and our current yield is over 5%. In 2009 we expect our contributions to our pension plans to be at the $25 to $50 million range I gave you last quarter. We have further prioritized our capital spending for 2009 and expect capital expenditures to be in the range of $300 to $350 million. It is worthwhile to note that our capital spending is weighted to the first half of the year. As we have discussed before, there are good business and economic reasons to complete some growth initiatives in 2009 that were well underway in late 2008. This includes the construction of our Triton Copolyster facility, finalizing feed efforts associated with our industrial gasification project in Beaumont, Texas and completing the Longview reconfiguration. The majority of these costs for these projects will be in the first half of the year. We spent $110 million in first quarter and expect the growth spending to continue somewhat in second quarter. By the second half of the year we expect spending to be at the low end of our baseline capital spend rate of $200 to $250 million annually. Our manufacturing, engineering and construction and other personnel are doing a great job in managing our capital program given the current environment. In addition, in first quarter we started making progress payments for our alliance with SK in Korea to expand our acetate tow capacity that’s included in other investment activities in our statement of cash flows. Those progress payments will continue for 2009 although at lower levels. With all these factors in mind, again, we are committed to generating positive free cash flow in 2009. Financial discipline underscores Eastman’s results and supports our strategy for the future. I have reviewed this last quarter, slide 14, but as CFO I can’t resist the opportunity to highlight Eastman’s strong balance sheet, attractive debt profile and liquidity position. As a reminder, we don’t have any significant debt coming due until 2012. We have a committed and undrawn $700 million revolver with substantially all of it available well into 2013. Our cash and cash equivalents at the end of March were $340 million. We are in a very strong position from a liquidity standpoint. Putting it all together, Eastman has a strong balance sheet, sufficient liquidity and a history of financial discipline. Plus, the actions we have taken recently to reduce costs and strategically over the last several years provide us with a portfolio of businesses that are well positioned to recover with improved economic conditions. We are actively evaluating all options to create shareholder value from our balance sheet both looking in to and beyond this recession. This includes continued work on our industrial gasification initiative, developing additional organic growth opportunities, explore a merger and acquisition opportunities and if appropriate, we will consider the repurchase of shares. Our approach to growth initiatives and creating shareholder value will remain disciplined. Eastman is well funded, continues to weather the storm and remains well positioned to take advantage of economic recovery. Now I’ll turn it back over to Greg.
Greg Riddle: That concludes our prepared remarks this morning. Operator we’re ready for questions.
Operator: (Operator Instructions) Your first question comes from Jeff Zekauskas – J.P. Morgan
Jeff Zekauskas – J.P. Morgan: I’d like to start off with a few questions about Fibers, can you remind me about the end markets of Fibers by geography, that is how much is US and how is Europe and how much is Asia?
Jim Rogers: I don’t know if we say the actual percentages, roughly domestic market is obviously much less important to us then it was years and years ago so less then a fourth of our business I’d say noticeably less than a fourth of our business would be in North America. Asia is kind of the market and it’s probably not just for us but for most everybody. Then of course Eastern Europe is also important. I’d probably line it up Asia, Europe, North America, and then Latin America.
Jeff Zekauskas – J.P. Morgan: In the statistics you gave you had the volumes down 10%, prices up 10% with a positive mix effective too. Under that dynamic why wouldn’t the operating earnings really be much, much higher if prices are up just as much as volumes with a positive mix in that wouldn’t a percentage point of price be worth about two percentage points of volume?
Jim Rogers: I haven’t done the math that way. Number one, the earnings are up fairly significantly, of course sequentially. The one piece you left out was the costs, remember the reason we got this price increase was because of what wood, pulp and energy did late last year and we didn’t get it all back in the fourth quarter. We’re just now getting that back. Tow volume is up but he other volume is off. I think the math works that we had a great quarter but it is pretty much the way it is.
Operator: Your next question comes from P.J. Juvekar – Citigroup
P.J. Juvekar – Citigroup: I’m looking at CASPI it was down like most other coatings companies. Can you give us a little bit more granularity on different parts of CASPI, talk about coatings, adhesives, and specialties?
Jim Rogers: It’s an interesting story and it’s actually a similar story for specialty plastics as well. When you look inside commodities versus specialties whether you’re talking coatings or adhesives one of the things I’m learning is just how the de-stocking is winding its way down. The commodity stuff you never had that much de-stocking going on I guess initially. Its big bulky stuff, people know they can get it from a bunch of different players; they didn’t necessarily carry a lot of inventory. The specialties are different, especially things that maybe we’re the sole supplier of, there they would carry a lot of inventory. Specialty had that longer value chain, more inventory all along the chain and then if you think not only specialty base but then if you think regionally the longest supply chain is Asia. You’re really seeing the de-stocking have an impact on specialties, particularly on some of the international sales. As I look inside CASPI its not an issue of margins and again some of our specialty plastics pricing is pretty much tracking with the raw material and energy costs, its really all about volumes, volumes being affected on the commodity side very much by just what’s going on in the overall economy, you’ve seen that by building and construction, by autos. On the specialty side you’ve got the lower end demand to a certain extent no where near as much as commodities but you’ve really go the de-stocking thing going on. That’s what gives me some encouragement when we say CASPI is going to be better next quarter. As you see a lot of that de-stocking product line by product line, region by region, slowly coming to an end. The fundamental business in terms of the demand for the specialties its still there. If you want to paint cars into the other coatings, our coalescent, additives, all that business still looks pretty good, we’re just going through this inventory de-stocking issue. The longest I’ve heard is a customer say it’s going to take till September to work through inventories but we’re seeing the end of de-stocking. We saw the end of de-stocking for some of the distribution channels in the first quarter. Maybe that gives you a little more color. The other thing we’re going to get in CASPI is we’re going to get a little seasonal pickup, we’re starting to see a little seasonal pickup to second quarter and that’s something we’re waiting to see whether not we’re going to get.
P.J. Juvekar – Citigroup: How much do you call the commodity bucket and the specialty bucket, how much of CASPI do you put in the specialty bucket?
Jim Rogers: I think I had it in the comments it’s like a two thirds, one third. The commodity piece being more some of the commodity adhesives and those commodity solvents, the additives in the coalescent are fairly special.
P.J. Juvekar – Citigroup: In the previous downturns you guys have pulled CapEx well below D&A. This time you got it $300 to $350 million I know you’ve got some investments in Triton and coal and all that. Beyond that do you see capital spending coming down meaningfully below D&A, especially if you’re running at 70% why do you need to spend capital now?
Curt Espeland: I think what you’ll see as we enter the second half of the year and look at even the fourth quarter you’ll find that our capital spend is more in line with that $200 to $250 million spend we say is what we would spend in just a maintenance mode. Yes, when we’re in the second half of the year and going into fourth quarter we will have capital expenditure that is lower then depreciation and amortization.
Operator: Your next question comes from Mike Judd – Greenwich Consultants
Mike Judd – Greenwich Consultants: The tax rate for the rest of the year, what should we be using?
Curt Espeland: We’re still looking at 30% to 33% rate for the year.
Mike Judd – Greenwich Consultants: With what’s going on with Chrysler and General Motors, can you help us understand, obviously that’s a relatively small part of your business, what sort of exposure do you have there? Lastly, there’s been a lot of information coming out recently indicating that the de-stocking is coming to an end and you guys have actually talked about that on this call. I’m just curious as you look ahead to the summer; we’ve heard I guess yesterday General Motors announced that they were going to shut down a number of their plants for an extended period this summer. How do you see this de-stocking issue playing out as we look into the summer?
Jim Rogers: First on the autos and you’re really pointing to the domestic autos. Obviously we’re a global supplier to a whole bunch of customers. We’re a little up the food chain from the OEMs and the auto industry. Whether or not we could actually trace anything to a nine week shutdown versus a two week shutdown I would really doubt it. As a curiosity, I mentioned a customer; the customer that said that they’re de-stocking would probably go as long as September which is the longest I’ve heard just happens to be selling into the auto industry. The way I look at that I think that car builds are around 9 million, we’re tearing up 13 million cars a year, that’s not going to last. I don’t know whether it will be GM, Chrysler, or who, but I know we’re going to be driving cars and I know the coating suppliers we supply to will be painting those cars. I have trouble breaking out these kinds of news stories from day to day in terms of having an impact on us. I know this is part of our end markets that have been hurt the most. CASPI has about 20% exposure to transportation and autos but remember it’s not just the original builds it’s also all the repaints. That almost has a utility function if you don’t build new cars you’re more likely to take care of the old car. Again, I think the fundamental value proposition in the CASPI business is the coatings business is sound. On de-stocking in generally, again I want to point out it doesn’t mean that there’s absolutely no more de-stocking, we’re done across the board, there really is product line by product line, region by region, but we are getting to the end of de-stocking for a number of our customers, a number of our areas we sell into.
Operator: Your next question comes from Jason Miner – Deutsche Bank
Jason Miner – Deutsche Bank: I know it’s a little bit apples and oranges to ask this at a summary level but given that 75% to 80% utilization is probably is a tough outlook of an environment for pricing could you guys sort of talk about what your overall pricing expectations for the rest of the year for the total company are driving the $2.00 to $3.00 expectations in EPS?
Jim Rogers: It’s something we’re watching very carefully. I said earlier that pricing has kind of moved with the raws and energy. Frankly that’s true, it appears that most everyone realizes that there’s not additional volume to be gained by being overly aggressive on price. We’re keeping our pricing in line with costs, variable costs, the parts you can’t take care of as the unabsorbed overhead and that’s that fixed burden. That’s what’s affecting the results right now. On pricing, in most markets, it’s been fairly disciplined. Will that change as people start to sense that there is volume to be gained? I just don’t know, I think most players have such skinny margins right now and their profitability is so low that they’ll probably have to stay disciplined for some period of time. I think in the quarter we ran around 71% capacity utilization to bump up to 75%, 80% I’m not sure would be that dramatically different in terms of the market dynamics pricing wise it would be dramatically different in terms of us and our under absorbed burden or the fixed costs that can’t put into all your products you’ve just to eat into your pricing. As I look at it, 75% to 80% would still be well below where you want to run. It just points up the powerful leverage we have in this company. We’re a quite integrated company and I’ve been impressed, one of the things I’ve learned is that if this the trough and we’re down at the bottom and we’re still talking about $2.00 to $3.00 a share running at the lower levels that we’re running at and you look at the operating leverage in this company and just how much fixed cost we can, cost is fixed and as you grind out more pound you get to spread that across and really boost your margins back up historically. I get very encouraged, I look at this and I think to myself, $2.00 to $3.00 an the trough and then you get back up to any kind of rates like we were at before you can set record earnings in this company just on the existing businesses we have today. The upside is what can you do with your cash on top of that. That was a long answer. You started me thinking about just where this could go when we start looking to the future and I can get very bullish in a hurry.
Jason Miner – Deutsche Bank: Given the improvement in gross margin sequentially but there’s a lot of moving parts could you help us to think about how much might have been eating up high cost for raw materials versus all the cost steps you put in place. What I’m really getting at is how much more room to run on some of those cost actions we might see coming through in the back half of the year.
Jim Rogers: I agree, I have trouble when I go from fourth quarter to first quarter because we did have so many moving parts. I know that in a number of places like in the PET business and specialty products and even CASPI, I guess most of the businesses we were still eating some high cost inventory as we went through the first quarter. It seems like most of that will be ending, that’s partly what gives us the encouragement for the second quarter, we won’t be having to jump that hurdle. We’ve only had the impact of some of our cost actions; we haven’t seen all of that yet. The pay reduction doesn’t kick until the second quarters. I would think the second quarter on our cost reductions will be a good indicator of just how successful we are. When you get to the back half of the year we’re just looking for a little up-tick in capacity utilization to get in that $2.00 to $3.00 range. Right now I hate to be too optimistic; I hate to get carried away looking at short term trends. Things have been picking up ever so slightly most recently and so I think that’s where some of our optimism comes from.
Curt Espeland: Its capacity utilization, its greater extent behind us on the inventory cost flow through. In the second half of the year we also don’t have that cost that we have in the second quarter with the Texas reconfiguration. That’s things that impact us in the second half of the year.
Operator: Your next question comes from Frank Mitsch – BB&T Capital Markets
Frank Mitsch – BB&T Capital Markets: Could you do me a favor, I know Brian’s not on the call, if you could let him know that I appreciated his thoughtful opinion piece in the paper and that Washington could use a fellow like him.
Jim Rogers: People are going to think we set you up for that. I was hoping we’d get a chance to mention that Op Ed. In case people are on the call and they don’t know what Frank’s talking about, Brian wrote a very good piece that got picked up in several publications, I guess it was a couple weekends ago and its not just about Eastman but our whole industry and frankly the whole manufacturing industry in North America. Some of the proposals that are being suggested in Washington and the impact obviously negative that it will have on manufacturing industry etc. If anybody wants that and wants to see what Frank’s talking about I highly recommend it. Our investor relations guys here would love to send it to you. Frank thanks for bringing that up. In return I’d love to give you a weather forecast but they got me in a room without windows. I guess I can make a joke about how I don’t have any visibility but it seems like everyone else has used that on their conference call so we thought we were trying to avoid it.
Frank Mitsch – BB&T Capital Markets: A few years ago you did a pretty good job of cleaning up CASPI and getting it into the black although obviously the results have ticked down here a little bit. I’m wondering especially plastics has been disappointing for several quarters now. You mentioned that you wanted to try and get it back into the black as soon as you can. Can you elaborate on that, what can you do, is this just a damaged business whose time is past? Can you give me some update on that?
Jim Rogers: I’d rather say it’s a damaged industry. I think our business is actually has a decent position in a marketplace in a really doggy marketplace. I’m pretty sure we’re over on the left end of that cost curve for the PET business. They’re one of the outfits that was eating these higher inventory flow throughs, we built inventory for the major shut down and debottleneck and of course you build inventory right at the time when costs are very high so they had to eat that, some in the third, some in the first quarter. We’re just going to be doing everything we can to take advantage of the IntegRex technology, reduce our legacy exposure. Last year, we started moving the line over to specialty plastics on the PET business and you price we’re going to see some weaker players fall out and I think we’re going to get it to the black but I’m going to stop from saying how soon that’s going to happen, I’m going to predict a direction. On specialty plastics, I’ve got to tell you I really like that business. There is value in that business. It’s where you see most of the growth opportunities that the internal growth opportunities it’s where we’ve been spending R&D and SGA dollars. It’s hard for you guys to see it but it has been for a long period of time now, it has been a business that’s been increasing its gross margin, we’ve just been reinvesting it. One of the things that impresses me, I started to get on a rant earlier about the powerful leverage in this company, this is a place that has powerful leverage in specialty plastics. If you think about it, its getting hammered right now because we just, for example, moved it onto a bigger line that used to make PET so the capacity utilization is down around 50% to 60% its hard to look pretty when you’re running that low. It has the kind of growth and we’ve got the kind of products, the Triton and Embrace, the Spectar. Some classy names and so again you think about as the volumes come back and you start using these bigger lines at a lower cost this is another business that can get back to that $15 to $18 million a quarter kind of run rate and then go north from there. Right now unfortunately it’s on the other end of that. The leverage works in reverse too and that’s what we’re seeing. No, this is a good one.
Frank Mitsch – BB&T Capital Markets: That accounts the change over in lines is part of the issue as to why this is one of the few businesses that we’ve seen in the chemical industry where the first quarter was worse then the fourth quarter. You’re of the opinion that we should see black ink if not the second quarter then the third quarter?
Jim Rogers: Yes, again I’m trying to be on the polyester side just because plastics are so bad. We were talking to Brian earlier and he was looking at the plastics industry is just lost this year; this is the lost year for plastics. You hate to get out ahead of yourself and get too optimistic. I can pretty much call the direction that it’s going north, we’re heading towards black but I’m shying away from actually calling the timing. Like the economist who says where the market is going to but just not when.
Frank Mitsch – BB&T Capital Markets: I’ve been unsuccessful in pinning you down. Let me try Curt. There’s been a lot of discussion 2Q we should see evidence of the cost savings flowing through. What sort of ballpark are you guys looking for in terms of cost savings in 2Q and to actually realize during 2009?
Curt Espeland: The cost actions in December have pretty much been implemented. We saw some of those in the fourth quarter and saw those in the first quarter. As it relates to the additional actions the way I kind of look at it is think of the three items we mentioned as kind of the third, of the third, of the third. The first action about the pay reduction that was effective March 30th so you can get a sense of when we would expect to start seeing the effects of that. The restructuring is the other piece Jim mentioned was completed in the first half of April and you’ll start seeing those as that is completed. The other areas are being actively worked and will be seen throughout the year. That’s how I try to put my head around that $100 million.
Operator: Your next question comes from Chris Willis – Impala
Chris Willis – Impala: I had a quick question about the PET, can you give us an idea how much the less than successful ramp of the debottleneck affected it. If you were to try an normalize that business and talk about how some of the elevated costs due to inventory issues and stuff, what would be a normalized run rate if this thing had been running properly and you didn’t have the type of massive cost escalation late last year with the inventory build and all that. Can you give us a sense of how well this business is doing ex all that?
Jim Rogers: I can qualitatively, that’s what’s giving us the, it’s the fact that these things have ended that we are running well now. The IntegRex technology does work and we are getting the conversion cost saving we thought. It was a difficult start up and also with the high cost inventory those are the two things that really hurt us in the first quarter. If it hadn’t been for that, it would look like we think the second quarter is going to look like where we said it would be significantly better. We’re driving towards break even in that business. I guess that’s as close as I can get whether or not it’s the second quarter or soon thereafter. From then its just a matter of how do we do on price over raws, what’s the rest of the industry structure do, how many more weak players can drop out and can we slowly be converting, now talking longer term, can we slowly be converting some of those lines to more specialty lines, sending them over to specialty plastics way. I don’t have an exact number I just know that that’s why I’m more confident second quarter is going to be better is because I won’t have the start up issues and I won’t have the high cost inventory in the second quarter.
Chris Willis – Impala: What you’re saying is wouldn’t have been in the black even if you didn’t have the issues?
Jim Rogers: I think that would have been tough to be in the black, yes.
Chris Willis – Impala: Same thing on the specialty plastics, can you give us a rough idea how much the incremental fixed costs are affecting that?
Jim Rogers: We were surprised that it was as negative as it was in their first quarter. When you running at 50% something utilization none of your rules work anymore. I like to think a little bit longer term and say this is a business that you get back into the volumes we had its easily going to be back up in that $17 to $18 million a quarter range. It’s just a matter of when is that going to come back. The operating leverage in this is very powerful.
Operator: Your next question comes from Kevin McCarthy – Bank of America Securities
Kevin McCarthy – Bank of America Securities: In the Fibers business you had the best operating margins in three years notwithstanding the higher raw material costs and some of the volume pressure. I suspect it would be even better were it not for acetate yarn. I was wondering if you could talk a little bit about the yarn business and what the profitability is there or lack thereof.
Jim Rogers: Yes, lack thereof. It’s not in the black, its red ink. Its interesting, people look at it and say so why are you in the yarn business. It actually is a very nice positive contribution, yarn sell for more per ton then tow does. We like making yarn in terms of how it allows us to run our plant. It is a negative, it brings us down. You can watch fashion trends etc. and see what’s happening to more expensive fibers compared to polyester. On the other hand there aren’t a lot of guys out there making it. We had a competitor exit North America a few years ago and we got a little bump up in the business and it looked good and then slowly people keep migrating away from it. You get to where you’re losing money again. The one thing I feel good about it we’ve taken quite a few actions internally to address costs there and I think we’re doing about as good as we can. This is a business that has run down as low as 30% something capacity utilization. We’ll see. We have our SK venture going where they had some yarn capacity that we’re going to convert to tow so that’ll be coming out of the market but there’s not high hopes for yarn ever making a lot of money. We would like to just get it back to say break even so it’s not a drag and continue to be a positive contributor.
Kevin McCarthy – Bank of America Securities: Are there issues around integration or overhead absorption that you feel would preclude a strategic reevaluation of that business?
Jim Rogers: No, it just comes down to running it at certain volumes that you get positive contribution. If the world changed enough that there wasn’t the volume which is a volume less then we’re at today, by the way. Volume would have to drop off from where we are today that the contribution was no longer positive. Well then you could take action, you could switch over and just be tow. Right now we are still getting positive contribution out of it and we don’t need that capacity right now.
Kevin McCarthy – Bank of America Securities: If we focus on the other businesses outside of Fiber I was wondering if you could comment on how sales and volumes trended in the month of March and what you’re seeing in the early days of April.
Jim Rogers: Yes, but I don’t want to get your hopes up. If I go all the way back to December, December was when they were really doggy. That was way down there. January, February kind of both months looked similar but noticeably better then in December of course. March was even just a little bit better and the last three or four weeks has ticked up above that. I said our capacity utilization was 71% in the first quarter. You know that we worked inventories down so maybe demand is running a little ahead of that. When we look at our second quarter guidance we basically just need demand to stay where it is in order to run at utilization rates we want. Yes, there’s been some positive up-ticks, I can tell you I’ve been fooled before where we’ve seen two or three weeks go up then we came right back down the next week. I don’t want to get everyone’s hopes up that somehow Eastman’s calling the end to the whole thing. Yes, it’s been a better trend then just flat or down.
Operator: Your next question comes from Bill Young – ChemSpeak
Bill Young – ChemSpeak: Could you give us where you are on the timeline, you said you’re doing some investment now in the coal gasification PET gasification project. Could you give us an idea about the timeline and where you stand with customer and partners ahead?
Jim Rogers: This is another one that I just think it’s a little nugget, not a little, it’s actually a big nugget of value within Eastman. We need some building blocks to fall into place. Right now we’re on the front end engineering design like we’ve talked about so we’re doing that study trying to nail down a capital number plus or minus 10%. We think the winds blowing our way on that one. We think capital costs coming back in. We’ve told the world we’ll have an update toward the end of the summer on that. I got a few other blocks that have to fall into place one of which is just the hydrocarbon spread between liquids and solids and you know natural gas is down around $3.00 now. Forward curve higher obviously but still not at the level that you would want to try and lock in pricing on contracts or hedging or whatever to kind of guarantee that arbitrage that we’re pretty sure its going to be there for a long time we just can’t see it in the market today. You’ve got a financing building block that, those markets aren’t exactly ideal. The one bene we have there is we’re in the Federal Loan Guarantee queue to try and get that benefit for this project. I said capital cost is coming back our way. You’ve got all the legislative issues and how the government and the world is going to treat CO2 and is it going to be a bene because we’re going to sequester it and use the ancillary recovery or is it going to be a negative. Those are my building blocks that have to come together. Late summer is the next time we’ll talk about it.
Bill Young – ChemSpeak: How about customers and your downstream technology?
Jim Rogers: The customers they understand what’s going on in the world too. I think we’re in pretty good shape. We continue to chat with them and you kind of say what in the world could you be chatting about this long and working on. As the world changes then you’ve got to keep looking are you keeping pace with the changes you see in the world in terms of energy and legislation etc. The downstream technology that is where some of the spend has been. I don’t really have an update on that. I can just tell you we’re going to try and be highly selective in what we spend money to work on. We’ve talked about gasification as an option for us and we think one of our mandates is that we need to keep the premium we pay for that option as low as possible in times like these. We’re trying to be very selective what we work on and you’ll probably see us just reducing our spend on what shows up in the other line on our income statement you’ll see us taking that down throughout the year.
Operator: Your next question comes from Bob Goldberg - Scopus Asset Management
Bob Goldberg - Scopus Asset Management: I wanted to follow up on Kevin’s question on utilization rates. I was just wondering are you at the low end of that 75% to 80% range.
Jim Rogers: No we’re not. We were 71% in the first quarter and obviously we’re down looking at it week by week trying to figure out its trends so again you can fool yourself. We’re a point or two above 71% today but that could be right back down the next week. We need a little pickup in demand to get to that 75% to 80%.
Bob Goldberg - Scopus Asset Management: Could you give us some indication by business as to where you’re operating, more for that level of granularity?
Jim Rogers: Within the businesses you can get, even within the businesses you can get different pieces just like I was talking about yarn has run as low as below 40% whereas tow would be high 90%. I won’t give you that granularity all through the whole business. We typically talk in terms of stream and if the company’s average was 71% you can pretty much count on the acetyl stream being the highest operating rate, the highest utilization, probably polyester and olefin next then parts of the adhesive chain has been the lowest. I’ve given you quite a few pieces now that I look back on it, especially plastics you know is running low PET runs higher. You can kind of fool yourself just going just by utilization rates because mix is pretty important too and so we’re trying to find rules of thumb that we can give you, something to help you but I hate for anyone to put too much weight on any one measure because there are so many moving parts.
Bob Goldberg - Scopus Asset Management: On raw material costs, you see much movement going into the second quarter? I you are a consumer of coal obviously in a decent part of the business, coal prices have come down seems like quite a bit from last year. Is that a benefit for you or you’ve locked up with contracts I’m just wondering what the status there is?
Jim Rogers: We benefit as the prices move. We try and do contracts and you ladder them so that you get some smoothing effect. That’s not just true for coal but that’s anything. We’re benefiting from lower energy costs to a large extent. I guess a number of our raws are down or flattened out. I think paraxylene is maybe the exception where you see that one going up which of course affects our polyester side of the house. Times in the past the story has been raw material movement, does pricing keep up with it. As we ran through all the numbers in what’s going through our business that’s not so much the story right now. Right now the story is all about volume.
Bob Goldberg - Scopus Asset Management: In the specialty plastics business you had a big squeeze there from paraxylene. Have you recovered the impact from the higher raw material costs late last year? Is it simply a function of the lack of volume or I’m just wondering where unit margins are relative to where they’ve been historically.
Jim Rogers: Here’s what I’m told. All the questions you guys are asking are the same things we’re trying to make sure we understand about our business. The margins are there, if you didn’t have the unabsorbed overhead in that business because of running at such a low utilization rate you would like this business. The products still have the same value to our customers, the margins are there, yes you do get squeezed on the paraxylene and again I’m speaking in generalities. The specialty plastics in our opinion really is a volume story right now. It’s a de-stocking story and it’s an end market demand story and it’s the amount of capacity we got versus the volume we’re seeing.
Operator: Your next question comes from Sergey Vasnetsov – Barclays Capital
Sergey Vasnetsov – Barclays Capital: A follow up on your gasification comments, these are more than three years old at least publicly and when I look at the transcripts of your conference calls last year the decision was supposed to be reach summer of ’08 to December of ’08. I realize it’s a complex project. On your end of the summer update is the next milestone will you complete the feat at the time and you will be able to make a decision of go or not go or should I take it that at the end of summer you will give us yet another date for update?
Jim Rogers: I’m shocked that something we said over a year ago may still not be appropriate today. Yes, the world has changed a little bit in the last few months. What hasn’t changed is I still think there is quite a bit of value for Eastman doing another gasification project. At the end of the summer we will have completed our feed process but I don’t think you ought to think that this is the kind of thing where you just make a final decision and you’re done and you either have to do it or it goes away. That’s the exact reason why we’ve referred to it as an option. I think there ought to be kudos to Brian and the rest of the team for the patience we’ve shown for not just plowing ahead. I don’t know how I’d feel. In fact I do know how I feel, I’d feel pretty lousy if I was half way through building a major plant right now just like I’d feel pretty lousy if we were just trying to digest a major acquisition right now. Yes, it’s been going on for a while. I don’t see that as a bad thing. We’re trying to be very prudent with our money and when we pull the trigger you can be pretty sure that it’s the right thing to do and we’re going to get a good return. Until then, we’re going to hold our spend down so it doesn’t cause us much pain while we wait for the world to come back our way so we can make some money on this thing.
Sergey Vasnetsov – Barclays Capital: By the end of the summer you will give an update as far as making a decision do you feel it’s driven by some other factors maybe later next year.
Jim Rogers: Take a look at natural gas if its still $3.50 it may be hard to get contracts in place that give us the kind of spread we want between PET, co and our products we’re going to be selling. That’s what we talk about; we say that there are building blocks that have to fall into place. When they do fall into place this thing can be very significant. If you think energy’s never going to go back up again well then you’d say that building block’s not going to get there. We actually think that energy is going to be more expensive in the future and the window is going to open again.
Sergey Vasnetsov – Barclays Capital: What do you think of the options cost to maintain this option alive?
Jim Rogers: You’ve been seeing it on the other line is where the bulk of it is which I think has been over $10 million a quarter now. All of that can’t go away but we are going to be reducing that number. In fact, I think on the quarter it was $13 million on the other line. We are going to be bringing that down. We’re willing to spend some money each quarter to keep this alive. Remember it’s not just, we’re also working on derivative products, other things we can so. We’re trying to look down the road a little bit. We think it’s a good use of money but we can bring the burn rate down a little bit.
Operator: Your last question comes from Kevin McCarthy – Bank of America Securities
Kevin McCarthy – Bank of America Securities: I was wondering if you could comment on the trends that you’re seeing in acetyl and intermediates within PCI?
Jim Rogers: Acetyl, intermediates in PCI is probably the bright spot. Obviously not all the way up to level in the heyday when PCI was making more then $200 million a year but still solidly in the black. We’re not the big asset supplier like maybe some of the other names you follow so we’re more in derivatives and hydride and other things in the acetyl stream. I’d say that one, the acetyl piece as you might expect its holding up noticeably better then the other streams.
Operator: Mr. Riddle I’ll turn the conference back over to you for any closing remarks.
Greg Riddle: Thank you everyone for joining us this morning. An audio replay of this conference call long with the slides that accompanied our remarks will be available on our website this afternoon through next Friday, May 1st. Have a great day.
Operator: This does conclude the conference call. We appreciate your participation.